Operator: Ladies and gentlemen, welcome to the STMicroelectronics Fourth Quarter and Full Year 2021 Earnings Conference Call and Live Webcast. I'm Myra, the Chorus Call operator. [Operator Instructions]. And the conference has been recorded. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Celine Berthier, Group Vice President, Investor Relations. Please go ahead, madam.
Celine Berthier: Thank you, Mara, and good morning, good morning, everyone. Thank you for joining our fourth quarter and full year 2021 financial results conference call. Hosting the call today is Jean-Marc Chery, ST's President and Chief Executive Officer. Joining Jean-Marc on the call today are Lorenzo Grandi, President and Chief Financial Officer; and Marco Cassis, in his new role since January 1 as President of Analog men and Sensor Group. And Marcos as well some global corporate role is as well a of smicroelectronics strategy, system research and applications and innovation office. This live webcast and presentation materials can be accessed on ST's Investor Relations website.  A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause these results to differ materially from management's expectations and plans. We encourage you to review the sale of our statement contained in the press release that was issued with the rise this morning and also in SE's most recent regulatory filings for a full description of these risk factors. Also to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. I'd now like to turn the call over to Jean-Marc, President and CEO.
Jean-Marc Chery: Thank you, Celine. Good morning, everyone, and thank you for joining ST for our Q4 and full year 2021 earnings conference call. Let me begin with some opening comments. Starting with Q4. As announced on January 7, net revenues and gross margin came in better than expected primarily due to better-than-anticipated operations in an ongoing dynamic market. Q4 net revenues of $3.56 billion were up 9.9% year-over-year and 11.2% sequentially, coming in 140 basis points above the high end of our business outlook. Q4 gross margin was 45.2%, 20 basis points above the high end of our guidance. Our operating margin was 24.9% and our net income was $750 million. Looking at our full year 2021. Net revenues increased 24.9% to $12.76 billion in 2021, reflecting a strong performance across all the end markets we address and our engaged customer programs throughout the year. This performance progressively strengthened versus expectations we provided during the year despite the challenges faced by the global semiconductor industry supply chain.  All 3 product groups achieved double-digit growth in 2021. Our profitability further increased Full year '21 gross margin was 41.7%, and operating margin was 19% compared to 37.1%, sorry, and 12.9%, respectively, in full year 2020. Our net income nearly doubled to $2 billion. Free cash flow for the year was $1.12 billion, and CapEx was $1.83 billion.  Our net financial position was $977 million at December 31, 2021, compared to $1.1 billion at year-end 2020. On Q1 2022, at the midpoint, our first quarter business outlook is for net revenues of $3.5 billion, representing an increase of 16.1% year-over-year. Gross margin is expected to be about 45%.  For the full year 2022, we will accelerate the execution of our strategy and value proposition, a strategy which stems from 3 long-term enablers: smart mobility, power energy management, IoT and 5G. And a value proposition based on sustainable and profitable growth, providing differentiating enablers to customers, supporting them with an independent, reliable and secure supply chain, committing to sustainability for the benefit of all our stakeholders.  We plan to invest about $3.4 billion to $3.6 billion in CapEx to further increase our production capacity and to support our strategic initiatives. This includes the first industrialization line of our new 300-millimeter wafer fab in [indiscernible] Italy. Based on our strong customer demand and increased capacity, we will drive the company based on the plan for full year 2022 revenues in the range of $14.8 billion to $15.3 billion.  Now let's move to a detailed review of the fourth quarter. On a sequential basis, Q4 net revenues increased 11.2%. This case was driven by both ADG and MDG, up 22% and 15.4%, respectively, while AMS revenues were substantially flat. On a year-over-year basis, net revenues increased 9.9% with ADG and MDG growing 28.6% and 23.7%, respectively, and AMS decreasing 11.2%.  Gross profit was $1.61 billion, increasing 28.3% on a year-over-year basis. Gross margin increased to 45.2% from 38.8% in the year ago quarter and was 20 basis points above the high end of the company guidance. possibly driven by improved product mix, favorable pricing and manufacturing efficiency.  Net operating expenses in Q4 were $720 million. Q4 operating margin was 24.9% and up from 20.3% in Q4 '20, with ADG at 17.6%, AMS at 26.6% and MDG at 29.9%. Net income and diluted earnings per share increased about 30% in comparison to Q4 '20 with net income of $750 million versus $582 million, and diluted earnings per share of $0.82 versus $0.63.  Let's look now in more detail at our full year results starting with a recap of the market and business dynamics we saw during 2021. Earlier marked by a strong market demand, but still impacted by the pandemic and global semiconductor supply chain constraints. Here, I would like to take the opportunity to thank all of the ST employees, who we worked tirelessly through the year to support our customers, drive our increased manufacturing efficiency and create innovative new products.  All this in the context of the ongoing challenges of the pandemic, where we continue to support our employees across the globe, ensuring the most stringent [indiscernible] and safety measures in every site where we operate. For 2021, in Automotive, we saw unprecedented demand across all geographies as the industry continued to rebound from the difficult one. The rebound was broad-based across all customers and regions. It was driven by the volume of vehicles produced, the replenishment of inventories across the automotive supply chain. Most importantly, an accelerated transformation of the [indiscernible] industry towards more diversification and digitalization.  Bookings remain strong through the year. Backlog visibility is now about 18 months and well above our current and planned 2022 manufacturing capacity. In industrial, we saw through the year very strong demand, both in high-end and consumer industrial. Electrification and digitalization are the main trends driving semiconductor content increase also in this end market. In terms of demand, factory automation was 1 of the main drivers, together with power-related applications, including renewable energy, motion control, power tools and home appliances. Demand was strong both with distribution as well as OS, in line with our approach to be broad in the highly fragmented industrial market.  Through 2021, inventories of our products at distributors remain lean across all product families with high inventory builds. Also, point of sales were strong across all products and geographies. In Personal Electronics, smartphone continues to be an essential source of social connection and streaming services for entertainment, fitness, gaming and music.  Smartphone volumes returned to growth in 2021, about 3% year-over-year, driven by 5G adoption. Demand for accessories was strong through the year, with healthy dynamics related to other connected devices, such as wearables, tablets, hearables and true wireless headsets and game consoles.  In communication equipment and computer peripherals, we saw continued adoption of 5G-related products as well as a sustained demand for PCs and especially not books through the year. To have this drive market recovered somewhat from its decline in 2020. We also saw low-cost orbit satellite programs launch or ramp up in a number of countries.  Looking now at our full year financial results in greater detail. Net revenues were $20.76 billion for 2021, increasing 24.9% year-over-year, reflecting a strong performance across all the end markets we address and our engaged customer programs through the year. Sales to OEMs and distribution returned to a more balanced split in 2021 representing, respectively, 66% and 34% of total revenues. This compares with 73% and 27% split in 2020, influenced by the first phase of the pandemic affecting the industrial end market.  By region of origin, 41% of our 2021 revenues were from the Americas, 34% from Asia Pacific and 25% from EMEA. In terms of revenues by product group on a year-over-year basis. ADG revenue increased by 32.5%. Both subgroups, Automotive and Power Discrete recorded double-digit growth. EMS revenue grew 18.8%. Analog & MEMS recorded double-digit growth for 2021, supported by continued growth in Imaging product sales.  MDG revenues increased by 24.3%. Microcontrollers, our largest subgroup reported double-digit growth partially offset by the expected decrease in radio frequency communication revenues. Gross margin increased to 41.7% for 2021, expanding from 37.1% for 2020. Reflecting manufacturing efficiencies and loading improvements, favorable pricing and product mix, partially offset by negative currency effect net of EG.  Our operating margin also significantly increased during 2021 to 19% from 12.9% in 2020. The increase in the company's operating margin was well supported by all 3 product groups: ADG operating margin expanded to 11.8% from 5.5%, EMS operating margin increased to 21.9% from 20.8% and MDG operating margin increased to 24.3% from 16.6%.  Net income increased 80.8% to $2 billion for 2021 from $1.1 billion in 2020. Diluted earnings per share were $2.6 from $1.20. Moving now to other financial indicators. Net cash from operating activities increased about 46% to $3 billion for 2021. CapEx was $1.83 billion compared with the 2020 CapEx of $1.28 billion. Our 2021 investments were about $300 million lower than what we had expected, mainly due to later-than-planned equipment deliveries.  Our full year free cash flow was $1.12 billion compared to $627 million in 2020, up almost 80%. Cash dividends paid to stockholders in 2021 totaled $205 million. During 2021, we repurchased shares totaling $485 million under our prior and new share repurchase programs. Our net financial position was $977 million at December 31, 2021, reflecting total liquidity of $3.52 billion and total financial debt of $2.55 billion.  Now let's move to our 2022 first quarter outlook and our plan for the full year 2022. For the first quarter, we expect net revenues to be about 3.50 -- sorry, $3.5 billion at the midpoint, representing a year-over-year growth of 16.1% and a sequential decrease of 1.6%. Gross margin in Q1 is expected to be about 45% at the midpoint, up 600 basis points year-over-year and sequentially flat compared with Q4 2021.  For the full year, we will accelerate the execution of our strategy and value proposition strategy which stems from the 3 long-term enablers, the smart mobility, power energy management and IoT and 5G and the value proposition based on sustainable and profitable growth, providing differentiating enabler to customers, supporting them with an independent, reliable and secure supply chain and committing to sustainability for the benefit of all our stakeholder.  We plan to invest about $3.4 billion to $3.6 billion in CapEx to further increase our production capacity and to support our strategic initiatives. Looking in greater detail, our CapEx plan includes: approximately $2.1 billion for capacity additions and mix change in our manufacturing footprint in particular, for our wafer fab; digital 300-millimeter in roll; analog 200-millimeter in Singapore; Silicon carbide power most fee 150-millimeter in Catania and Singapore as well as assembly and test operations. About $900 million for strategic investments. This includes the first industrialization line of our new 300-millimeter wafer fab in Agrate, Italy, as well as gallium nitrate technology and silicon carbide raw materials initiatives.  The remaining part of the CapEx plan covers the overall maintenance and efficiency improvements of our manufacturing operations and infrastructure as well as our carbon neutrality execution program. On this latter topic, a key element of our sustainability strategy, we are moving ahead in our environmental road map to be carbon neutral by 2027. In 2021, we improved our total greenhouse gas emissions efficiency, minus 27% versus 2020 and our use of renewable energy reached about 51%.  Based on the strong customer demand and our planned investment to increase capacity, we will drive the company based on the 2022 revenue plan of $14.8 billion to $15.3 billion, representing revenue growth of about 16% to 20%.  To conclude. In 2021, ST delivered strong revenue growth and increased profitability. We work alongside our customers, continuing to adapt our supply chain to support their strong demand. For 2022, we continue to work on making ST stronger. We are funding that we have the right strategy and resources in place, our balanced end market focus and position our solid product IP technology portfolio.  Our integrated device manufacturer model, our transformation programs and our focus on high-growth applications that continue to accelerate their strong positive dynamics. We are investing significantly to support this acceleration in order to capture new opportunities, working alongside our customers and to prepare our goals for the years to come.  Before we take your questions, [indiscernible] we will be hosting our Capital Markets Day on May 12 in Paris. We hope to be able to have an in-person event and will also webcast live. Thank you. We are now ready to answer your question.
Operator: [Operator Instructions]. The first question is from Aleksander Peterc from Societe Generale.
Aleksander Peterc: Congratulations for great results. I guess the first part I would have would be on how we should think about your gross margin developing throughout the year. I think you mentioned last year, there could be some near-term headwinds from higher input costs. But it's clearly not the case in Q1 where you guide for flat gross margins at this high level. So how should we expect this to develop over the year? Do you expect the pressure later? Or will you build on this strong gross margin in the first quarter? And then just very quickly, secondly, if you could comment on why R&D was so low in the fourth quarter? And how should we think about OpEx modeling for the year?
Jean-Marc Chery: Lorenzo will take the question.
Lorenzo Grandi: Sure. Good morning, everybody, and thank you for the question. Yes, about gross margin, what it will be the sustainability of the gross margin that we have posted during last quarter in Q4 and what we have announced for Q1. For sure, you have seen that in Q4, gross margin was stronger than expected. This was mainly thanks to more favorable product mix and definitely also thanks to the price environment. We continue to see our gross margin at this level, let's say, also for Q1. With the current market environment that we see at the level of the revenues that we have, let's say, indicating in our plan, we think that we should be able to maintain, let's say, we should be able to maintain our gross margin around the current level as an average for the whole year. Of course, we expect some seasonality in our gross margin. It means that, for instance, we do expect some slight decline in Q2 in respect to what we stand in Q1 and then maybe some recovery in the course of the year in the second half.  In the next following quarters, actually, the dynamic of the gross margin will be impacted by various elements. Some of them are positive. Some of them are negative. On the positive side, we do expect some further revenue price increase and also some, let's say, positive impact from the manufacturing efficiency that is improving. On the negative side, of course, we have the full impact that is not yet totally reflected in our cost of the increase on production of the material price increase in the cost of a foundry in [indiscernible] as we are increasing the quotation as well as a significant increase in the energy cost, as you can imagine. Also increased depreciation in our COGS as a consequence of our CapEx plan will impact on short term our gross margin. This will be before, let's say, to translate higher output and improved manufacturing efficiency.  Anyway, let's say, all in all, we do expect that substantially, we may stay at different level of the gross margin with some, let's say, up and down in terms of seasonality during the year. The second question was about expenses, let's say, yes, indeed, expenses of Q4 came, let's say, lower than we were expecting -- originally expecting. This was mainly driven by the fact the 2 main components, I would say, for this level of expenses in the Q4 quarter. On one side, we had some lower discretionary expenses. Especially, let's say, on the last part of the quarter related to the fact that there was some impact in some sites due to the pandemic.  So some of our employees are not allowed to go to work, and of course, some activity had some kind of slowdown, especially in the second quarter. Then actually, there has been some positive onetime item, let's say, linked to the remeasurement of some accrual, the liability. And this, of course, is something that is impacting the quarter, but it's not something that is recurrent. Maybe I take the chance maybe to anticipate some other question about what will be the dynamic of the expenses moving forward.  As I said, in Q4, we're particularly low. What we do expect, for instance, in Q1 is that there will be some increase in our expenses. This increase is related, of course, some activity increase in our R&D -- and as I was saying before, and the nonrecurrent of some impact that we had during the previous quarter. So we may say that our expenses, it will be something in Q1 more in the range of net expenses, including other income and expenses, more in the range of $800 million, $820 million. I hope I have answered your question.
Aleksander Peterc: Yes, thank you very much.
Operator: Your next question is from Matt Ramsay from Cowen.
Matthew Ramsay: Jean-Marc, I wanted to step back and ask sort of a multipart question. I mean if you look at -- remarkable results and congratulations. 2021, you guys grew the company, say, 25% on revenue. And it looks like you're guiding for high teens growth off of that in 2022. And I guess what I would like to get your perspective on is just the overall drivers of that growth. I mean you're essentially growing the company by 50% in a couple of years off of the pre-pandemic levels. And I guess what I want to understand is how would you characterize the growth? Is it -- how much driven by secular things like electrification and digitization in autos, et cetera, how much driven by capacity expansion and how much driven by pricing increases? And particularly the question that I get from investors, not just for your company, but for the industry is how durable are some of these price increases through the cycle? And if you had any perspective there, I'd really appreciate it.
Jean-Marc Chery: Thank you. So I will comment on the megatrend and maybe Lorenzo will comment on the volume mix and versus pricing. Well, about the growth of ST, okay, between 2019, 2020, 2021 and our indication for 2022. We see basically 2 elements to make it quite clear and simple. Well, first of all, okay, if we split the electronics market into the stand-alone electronics, which is personal electronic, consumer and communication computer our strategy, okay, has been very consistently clear since many years now. Here, okay, we are very selective with some engaged customer programs. and we take opportunity of high volume application with our general purpose MCU and analog and power device. So here, ST has the capability to both take into advantage, okay, the high volume from this part of the electronics. And for sure, we are quite successful with some very specific customer engage program where we provide differentiation to the customer. So this is something that since 2016, okay, we are growing every year.  The second part which is the core of our strategy is an embedded electronics, so the well-known automotive market and the industrial market. And here, post 2020, I would like to confirm that these 2 markets, these 2 verticals are facing first recovery or rebound after 2020 definitively. But more importantly, it is a measure of transformation these 2 verticals are facing. Again, the electrification of the mobility is accelerating at the speed which was not expected in 2020, driven by the willingness of the world, of course, okay, to improve the [indiscernible] footprint, and it is valid in all the region of the globe, for all the car makers, all the truck maker all, let's say, the 2 big vehicle maker, including, of course, for more components in terms of power like the silicon carbide, but also the power analog, okay, for the driver, MCU for battery management system. And in parallel, the digitalization of the car for more safety. So [indiscernible] more recently, okay, you have seen Mobile announcing, okay, $100 million cumulative okay, it device delivery believe really the $200 million will be achieved quite soon.  So first of all, okay, the automotive market, which is the most well-known is really facing an acceleration of the transformation calling structurally for more components. So it will take many years, okay, to execute this transformation between 2022 up to 2027, 2030, and calling for a secular, okay, more semiconductor content. Then something which is less well known because much more fragmented, it is the industrial market. And here for the industrial market is very similar. You have the electrification of everything, the power tools and ample [indiscernible] okay, whatever are for consumer, but also for professional. The big in fact occur, which are calling for much better efficient electronic system in order to optimize the power energy they consume. The factory automation because, again, if you remember well, one of the measure less and learned from the pandemic has been that the plant, which resist better to the stay at home with the plant with high level of automation.  The consumer industrial, so the whole appliance and basically all the consumer, let's say, application are being more and more, let's say, green neutral. So calling for more MCUs, more MOSFET, more IGBT, more control. So as the takeaway, I would like to say as far as ST is concerned, our dual position to address embedded electronics facing secular transformation, calling for much more semiconductor content. Plus our position very selective on stand-alone electronics where we capture high-volume application from general purpose device, which are quite efficient [indiscernible] as an example, plus very specific engage customer program where we bring this avocation are the main growth drivers of the company. Now, okay, to give you some color about -- okay, respectively, the volume and the price increment or the mix because both played, okay, I'll let Lorenzo comment.
Lorenzo Grandi: Thank you, Jean-Marc. I wanted to give you some ideas on data point. Last year, in 2021, we grew respect to 2020 by $2.5 billion, our top line, our revenue. When we look and when we try to split this growth in the various components, I can say that the main one representing around 80% of this growth is volume. They come from a higher level of volume. Don't forget that in 2020, we had a $150-plus million of unloading. This year, we are running our fabs with increased capacity due to investment that we have done let's say, fully loaded, let's say, our fabs are running at 90% of loading that is at the maximum. More than that is impossible. So I would say 80% is coming from loading.  How about price and mix? Price and mix accounts for the remaining 20% of our growth. And I would say they are substantially even half and half between the 2. So this is to give you an idea. The biggest driver of our growth has been the volume. So for sure, price has been important because definitely, the trend was the other way around that normally happens in our market, let's say, able to play in a negative way. This year has been played in a positive way for a significant amount, but it's not definitely the main driver of the growth, definitely important on the profitability for sure.
Celine Berthier: Does it answer your question?
Matthew Ramsay: Yes. I really appreciate all the color and the detail there. And very, very clear even in the middle of the night, I can understand it. Congrats again, and I'll jump back in the queue. Appreciate it.
Operator: The next question is from Alexander Duval from Goldman Sachs.
Alexander Duval: Just a couple of quick ones. We heard overnight from one of your big U.S. auto customers that they see tightness in automotive semis continuing until next year. I wonder to what degree you'd agree with that prognosis? And to what extent do you see a risk of some kind of correction or adjustment before the end of the year. Just wondered if you could give a bit more color in terms of the semi inventory levels you're seeing in the channel.  And then secondly, a quick one on silicon carbide. I wondered if you could give an update on your leases view on the asset you acquired there and the extent to which vertical integration as a strategy is going to help STMicro. You mentioned just now that as part of your strategic investment, I believe, some of that's going towards silicon carbide material. So I wondered how confident you are that you'll have enough wafer supply to deliver your long-term SIC targets. And any update on track needing with car models or platforms on silicon carbide.
Celine Berthier: For your first question, Alex, was about automotive? Or was it globally?
Alexander Duval: Yes. Yes.
Celine Berthier: Yes. So your first question is about automotive and the trends and how we think that the situation should go back to sort or normalization whether how events in the channel, how do you see this. The second question is on the vertical integration strategy on silicon carbide, correct? Where we stand, whether we have enough in our hands to what are the strategic initiatives we're going through. And the third is whether we have silicon carbide, some new news on products, trends, et cetera, in terms of product. Did I correctly summarize your question?
Alexander Duval: Yes, Celine.
Celine Berthier: Thank you very much, Alex.
Jean-Marc Chery: Okay. So I will comment Automotive and silicon carbide, but definitively, if I miss some point, okay, Marco Cassis cases will complement. First of all, on automotive from an ST perspective, where we provide to this industry, let's say, power solution means, okay, MOSFET, IGBT and [indiscernible] but also on broader processing solutions, so Microcontroller, I simply would like to confirm to you that, okay, first of all, our planned capacity for 2022 is sold out. And the supply chain, taking into account the number of, let's say, cost and 3 particles we have between carmakers, Tier 1s, EMS, there is no inventory in the channel. There is no inventory buildup in the channel simply because the capacity, which is mainly when we have spoken about the processing solution capacity using technology node between 19-nanometer to 14-nanometer, maybe 28. And the capacity for power and power analog which are mainly, let's say, technology where the node is not the differentiating factor. All this capacity are totally saturated at IDI level or at a foundry level. And you know that the foundry are massively investing on not beyond, okay, 28-nanometer to support the standalone electronics world.  So we don't see, for the time being, let's say, any inventory buildup. And again, the challenge for a company like ST, but let's say, for a peer like Filion, or NXP is to have the capability to continue to support the critical and major transformation and successfully the major transformation of the let's say, automotive and mobility industry. We still see when cars and vehicles are using, let's say, more advanced, let's say, technology and processor. Still, for the time being, some tension, okay, in the supply chain, more related to assembly materials, okay, like substrates, okay, or frame this kind of stuff. But this tension, okay, should, let's say, improve progressively, let's say, through the year, and in 2023. But for -- again, the remaining diversified, let's say, semiconductor product and technology, the tension at least will remain in 2022. How about silicon carbide? Silicon carbide, we continue, let's say, to win socket and program, okay. We are now engaged with 90 ongoing programs, addressing 72 customers. So we definitively confirm our target, okay, of $1 billion revenue by 2024.  Our position, let's say, is well balanced between mobility leaders and industrial market. Part of the $2.1 billion of capacity increase this year, basically, the 3 main parts are the digital 300-millimeter, then the silicon carbide wafer fab in Singapore and in Catania. And the advanced power analog technology, which are the key device, okay, and driver of MOSFET or driver of any solution in the car. And in parallel, a part of the strategic initiative, I confirm to you that we have already started the building of some facilities in Europe to prepare our future supply internally for raw material and [indiscernible] where our target is by 2024, 2025 to supply internally 40% of our [indiscernible]  Better than that, we are confident that we will be capable to continue to sustain our objective to have approximately 30% of market share of this booming market of silicon carbide, which is connected to the acceleration of the electrification of all vehicles, plus a very strong demand for all investor -- high-power investors in the industrial market.
Celine Berthier: Any follow-up, Alex?
Alexander Duval: That's it.
Operator: The next question is from Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: One, what kind of visibility do you have on your large sensing design that your main customers, the main customers, sorry, at this point of the year? And also coming back to the OpEx question, you provide some color, Lorenzo, on Q1. How do you see the OpEx evolving beyond Q1? And can you help us model a little bit the OpEx for the full year 2022.
Jean-Marc Chery: So you answer the OpEx first.
Lorenzo Grandi: Yes. thank you for the question. What is our expectation for the full year '22, how there is the evolution of our OpEx. I was already mentioning the level of OpEx that we do expect for the first quarter. I said between $800 million and $820 million. In 2022, this will be a year in which we will strongly invest in our R&D activity. This is to fuel our future revenue growth, of course, and also profitability as we wanted to us to continue to improve our product mix. Additionally, on this, we will reinforce our effort in our programs to transform our company more and more in a digitalized company, addressing our supply chain, addressing the R&D methodology, the quality, the HR, our IT backbone. So many programs we have, let's say, in order to reinforce our processes, our methodology. This, of course, all of this will have for sure consequence on our expense spending. That will increase in respect to what has been done in 2021. However, if I look based on the current sales plan that we have, our -- what we have communicated, definitely, let's say, our expense to sales ratio in 2022 will improve in respect to what has been in 2021.
Celine Berthier: And Sébastien, could you -- would you mind repeating your question. We didn't hear. So what is your first question?
Sébastien Sztabowicz: It was a question on your 3 defensing design at your main customer. What kind of visibility do you have on the next potential device that will be launched by your main customer?
Unidentified Company Representative: [Indiscernible] speaking, we don't comment in a very detailed okay, our customer, but they are a really great, okay, process to drive their partners and suppliers. So we have, okay, 1 year of visibility, which, let's say, give us the opportunity to drive our operation. So -- and again, okay, this customer participate -- will participate to the growth of [indiscernible] 2022. And as already commented during some previous discussion we have together on the architecture of this system of the smart device, okay, we have clear visibility on the evolution, which make us confident that, again, this customer and specifically margin will continue to contribute to the growth of the company in 2022 and beyond.
Operator: Next question is from Francois Bouvignies from UBS.
Francois Bouvignies: It's maybe a clarification from the questions before. Maybe the first one is on the -- you mentioned, Lorenzo, the very helpful the volume and price performance in '21 that you saw but I was wondering for 2022, what the split is going to look like? Because when I look at your comments, I mean, previously, you said that you were full in '22. It's been 2 quarters. You are saying that, but yet you are consistently surprising the market and with the growth of 16% to 20%, it's a very strong performance on the revenue side. So can you maybe clarify for 2022, what is a mix of this volume and price would be very helpful because I thought your previous comment was on '21, if I'm not...
Lorenzo Grandi: Yes. No, definitely. My comment was on '21, so precise. I would say that, let's say, yes, for sure, when I look at our growth moving in 2022, volume will be still a significant driver for our growth. So of course, let's say, you see that we have invested significantly during last year in 2021. We are continuing to invest. It's true that the investment that we are going to do during 2022 will translate progressively in higher volume. But just to give an idea, let's say, in Q1, we intend to invest in the range of $900 million. So it means that it's a significant effort in order to follow the demand and to serve our customer. Of course, there is also the portion of investment relevant for the 12-inch in graph that will not translate during this year in any significant volume. But in any case, let's say, I would say that still, also in 2022, we will see a similar evolution of our, let's say, revenues in terms of volume, mix and price. There is still some room from price increase that is embedded inside our guidance. mix, let's say, is definitely giving a positive effect also during this year, and the volume will be the big driver. This is our expectation.
Francois Bouvignies: Okay. That's very clear, Lorenzo. And it's a good -- for my follow-up is on the capacity increase. I mean one of the highlights of this quarter is probably your CapEx spend, which is a significant acceleration compared to previous. I mean we need to go back to 2000. And really, you had the similar almost gross margin of 46% when you spend the same level of CapEx. I mean I hope we won't have the -- what happened after. But I was just wondering for this CapEx, can you give us a sense of the timing of the capacity that it will be released with this significant CapEx because I believe that it's very tight in terms of -- and you said it before in terms of equipment. So when should we see the capacity meaningfully increasing following this CapEx increase? And in your strategic program, you said that the increase mainly driven by strategic initiatives like silicon carbide, but you still have $1 billion revenues for silicon carbide by 2024. So I'm just wondering, is it something that will come for capacity after that? Or just are you preparing some capacity over your revenues just for the years ahead? Just trying to understand this CapEx, in other words.
Jean-Marc Chery: Okay. So I take the question and Lorenzo will complement this if needed. About CapEx, so I repeat, if we split the CapEx, there is $2.1 billion for capacity. This $2.1 billion will be including some carryforward of last year because as I commented in my address, we received late the equipment during the quarter. That's the reason why the CapEx spend were below, let's say, the plan. But this -- we will pay this CapEx, okay, in Q1. Now clearly, the CapEx we spend in 2022, we'll start to participate for of additional revenue in the last, let's say, 5, 4 months of the year. And the CapEx, we will spend for assembly and test, okay, will participate basically immediately to the revenue.  Now for the capacity, I have to say that the main part of the CapEx is clearly approximately half of that for our 300-millimeter wafer fab in coal. And here, okay, it is driven mainly by embedded processing solution for automotive. So microcontroller and the industrial market. So MCU. Why? Because, okay, you see an acceleration of the conversion of the MCUs on 14-nanometer because, okay, the capacity on mature technology, 8-inch are totally oversaturated. And there is no more investment, okay, on this kind of mature MCU, whatever is a region in the world. So first of all, okay, the 300-millimeter will support okay, the digitalization of the content, MCUs, okay, in automotive. The second driving factor to increase the capacity for the 300-millimeter is a okay, the -- currently, the important volume okay for ADAS is 14-nanometer and 28-nanometer as well.  Then the second important part of the capacity is silicon carbide in Catania and in Singapore. And of course, this will contribute for this year, where, okay, we will continue to increase our revenue, let's say, above the $700 million of revenue in 2022 going and prepare the $1 billion. Then after the other part of the capacity is again for automotive because in terms of power management, analog mixing is in terms of driver of power MOSFET IGBT, you need to have power analog technology in the range of 110 nanometer, which is the most efficient technology. And this will be done in Singapore. So this big part, these 3 elements are present basically 80% -- 75%, 80% of the total capacity increase will contribute from wafer fab perspective on the last part of the year and are preparing 2023. So this is point number one. Assemblies will contribute for 2022. And I have to say that Unfortunately, [indiscernible] is really now a bottleneck because whatever the capacity at IBM level or OSAT are really fully saturated. And the equipment suppliers are themselves limited by the semiconductor supply. So we have many, let's say, event where the equipment maker, they are not capable to supply what we need.  About the investment for strategy. Guys, the move to a 300-millimeter for, let's say, the market we address and the product we address. For the next 10 years, okay, when you address the market of automotive and industrial, the technology we need will be between 19-nanometer, okay, to 16-nanometer, massively, okay. Of course, you will need from very specific case for automotive, like the vision processor or some gateway. And for very specific case in industrial, very advanced technology, but it will represent below 15% of the need. 85% of the need will be massively 19-nanometer to 16-nanometer, plus the power technology. And here, you need to execute progressively the conversion to 300-millimeter. And that's the reason why ST decided in 2018 to start to build a plant in Agrate, Italy to prepare this long-term megatrend. In 2022, this is the time to set up what we call the first industrialization line, where on 2 or 3 technology we have decided supporting our long-term revenue roadmap to qualify. And to qualify the technology to address the automotive market and to address the industrial market cannot be done overnight, okay? You need basically 1 year to qualify the technology. So it's a monitory milestone to set up, okay, this 300-millimeter first industry as online to be ready in 2023 and beyond to support the growth of the company, addressing analog mixing technology and embedded processing solution technology. So that's the reason why definitively 2022 is a specific year because on one side, you have a very strong demand on industrial and automotive market that we have to support because nobody can support them, except ST everywhere we are. And in parallel, you have to prepare yourself to prepare your future transformation and growth for the next 5, 10 years, and this is a mandatory milestone to set up the industry into line in Agrate.  Last but not the least. I repeat that we have taken the decision a few years ago that ST want to have a part of our own supply chain on the raw material silicon carbide. Why? Because we do not want to be limited in innovation, in cost decrease and in wafer size increase. So that's the reason why we have decided to set up in Europe a mega factory for raw material. And this mega factory for raw material will have also the epitaxi capability. And this mega factory, okay, for the future, we'll have also the capability to support wafer fab fabrication. So this is a full picture of the CapEx, which is driven, of course, by the short-term demand. We consider very solid. And again, here, I would like to repeat, we have 18 months on visibility. The total backlog of the company compared to the capacity of 2022 is basically 50% above. So medium and short term. And we are preparing the future for 300-millimeter conversion and silicon carbide. And by the way, [indiscernible] So this is the full picture of the CapEx.
Celine Berthier: Unfortunately, we are getting -- we have already over the past the time. We have time for one last question, not too long. Thank you so much. We take the last question.
Operator: The last question is from Jerome Ramel from BNP Pariba Exane.
Jerome Ramel: Yes. Just a question, Jean-Marc, on the similarity for Q1, which is much better than usual. Could you give us a little bit granularity per end market or division? And my second question just on the CapEx. Clearly, big numbers and without front running the Capital Market Day in May, does that mean that you're also very confident that globally speaking, you see more growth beyond 2022 for STMicro?
Jean-Marc Chery: So for Q1, the strong revenue guidance is driven by automotive and industrial market definitively. We have the usual seasonality for Personal Electronics, okay, driven by the various important OEM we have. But clearly, okay, with the backlog, we have requested by customers even if we would have the capacity, best guidance of Q1, we would have been much, much, much higher. So it is clearly, okay, for the time being, okay. Seasonality, except for personal electronics, which is still valid, but seasonality for automotive and industrial market is something we have to forget for a while because of the very strong demand. Then the second question is about -- Celine?
Celine Berthier: It's about the -- [indiscernible] the Analyst Day, it is level CapEx. Tell me if I'm right, Jerome, do we expect -- does that mean that we expect [indiscernible] beyond 2020.
Jean-Marc Chery: As I conclude, okay, during my address, okay, when we look the market dynamic in the next 5 years, okay, unprecedented transformation of the automotive and industrial market. And the positioning we have on these 2 markets, plus the one we have on consumer, personal electronic, communication, where, again, I repeat, we will be able to capture some important programs with technology, our differentiated technology. But as well, we will be capable to capture high volume [indiscernible] thanks to our general purpose device. We are convinced that our growth strategy based on organic one, plus bolt-on acquisition, okay, when we want to accelerate on some specific IP blocks or technology block, will enable the company to grow and to perform better than the market we serve on the long-term trend. So yes, okay, what we are doing this year is, of course, to execute and supply 2022 and prepare 2023, point number one. And point number two, to prepare ourselves to the medium long-term growth that the company expects, thanks again to the strategy we have, market positioning, customer base. But clearly, it's very important that, okay, we support our customer, okay, in the short term. We offer them the flexibility, the ability to support their strong demand.
Celine Berthier: Thank you very much. This is the end of the session. Thank you so much all of you for your attendance as usual.
Jean-Marc Chery: Thank you very much. Bye, bye.
Lorenzo Grandi: Thank you. Thank you. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.